Operator: Good morning. I would like to welcome everyone to Kennametal First Quarter and Fiscal 2025 Earnings Conference Call. All lines have been placed on mute, to prevent any background noise. After the speakers' remark, there will be a question-and-answer session. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Michael Pici, Vice President of Investor Relations.
Michael Pici: Thank you, operator. Welcome, everyone, and thank you for joining us to review Kennametal's first quarter fiscal 2025 results. This morning, we issued our earnings press release and posted our presentation slides on our website. We will be referring to that slide deck throughout today's call. I'm Michael Pici, Vice President of Investor Relations. Joining me on the call today are Sanjay Chowbey, President and Chief Executive Officer; and Pat Watson, Vice President and Chief Financial Officer. After Sanjay and Pat's prepared remarks, we will open the line for questions. At this time, I would like to direct your attention to our forward-looking disclosure statement. Today's discussion contains comments that constitute forward-looking statements and as such involve a number of assumptions, risks and uncertainties that could cause the company's actual results, performance or achievements to differ materially from those expressed in or implied by such statements. These risk factors and uncertainties are detailed in Kennametal's SEC filings. In addition, we will be discussing non-GAAP financial measures on the call today. Reconciliations to GAAP financial measures that we believe are most directly comparable can be found at the back of the slide deck and on our Form 8-K on our website. And with that, I'll turn the call over to Sanjay.
Sanjay Chowbey: Thank you, Mike. Good morning, and thank you for joining us. I'll start the call today, with some end-market commentary, followed by a review of the quarter, and examples of the industry leading innovative solutions, we are bringing to market. Then Pat will cover the quarterly financial results, as well as the fiscal '25 outlook. Finally, I'll make some summary comments, and then open the call for questions. Let me start on Slide 3, by saying that from an industry and macroeconomic perspective, fiscal '25 has started out pretty uneven, similar to what we saw at the end of fiscal '24. During our fiscal first quarter, market conditions worsened further in EMEA, and that is impacting several of our end markets. In addition, industrial production in the U.S. has continued to be soft. We also saw two major labor disputes, one in the shipping industry, which was resolved quickly, and the second one impacting aircraft production, which was resolved recently. Despite these broader industry and market challenges, we remain focused on things that we can control. We continue to make progress on initiatives to drive above market growth, including innovative product launches, and demonstrating our products and solutions at several key industry events. I will elaborate more on these in a moment. In addition, we remain focused on primary working capital, as shown by the strong free cash flow that will deliver this quarter. Now let's turn to the results. For the quarter, sales decreased 2% year-over-year. At the segment level, infrastructure increased 1% organically, while metal cutting was down 4%. On a constant currency basis, Asia Pacific sales increased 2%. However, EMEA declined 1% and the Americas declined 2%. Moving to our end-markets Aerospace and Defense grew 13%, Energy grew 2%. Our other markets experienced declines. Transportation was down 2%, General Engineering declined 3%, and Earthworks declined 6%. I want to reflect for a moment on our results versus the expectations we outlined last quarter. Our results were at the lower end of our expectations. This was mostly, due to challenging market conditions in General Engineering and Transportation in the EMEA and Americas regions, within metal cutting. Now turning to profitability for the quarter, adjusted EBITDA margin was 14.3%, compared to 16.6% in the prior year. Adjusted EPS decreased to $0.29, compared to $0.41 in the prior year quarter. Cash from operating activities year-to-date was $46 million, compared to $26 million in the prior year period. Free operating cash flow, year-to-date was $21 million, up significantly from negative $3 million in the prior year. And we continued our share repurchase program with $15 million worth of shares bought back during the quarter. Reflected in our EPS and as noted last call, was a portion of the investment in third-party expertise, to execute some of the initiatives related to our $100 million cost improvement plan. The EPS results also include our participation in trade shows that take place every other year, including IMTS in the U.S. and AMB in Germany. We are encouraged by the level of interest during those shows. Our booths were very active, and we had a strong lead generation from both events. Finally, we remain focused on generating strong cash flow, and implementing operational initiatives to improve our overall performance. Now turning to Slide 4, I want to provide an update on the growth benchmarking that, we introduced last year at Investor Day. As you may recall, we provided a comparison of our metal cutting growth, relative to publicly traded peers and data provided by industry trade groups in certain countries. First, on the left, once again this quarter, metal cutting's performance, while negative on a constant currency basis, matched the publicly traded peer set. Over the last couple of years, as you can see here, we have been demonstrating our ability to compete and win. On the right, you can see that we have performed relatively well in these key countries. In the U.S., we delivered 3% growth very modestly below the overall market. This is mostly driven by the timing of special projects in aerospace and defense and transportation. In the countries listed. We continue to outpace, or match market growth. For example, in Germany, while the broader market there declined significantly, we achieved flat growth. Our outperformance was due in large part to our growth initiatives. Also of note, the broader peer group may have been impacted by lower export sales. Finally, let me say that our innovative solutions, best-in-class, customer service, application, engineering support and commercial excellence, continue to position us for above market growth. Now, speaking of our innovative solutions on Slides 5 and 6, I would like to highlight examples of how innovation as a competitive advantage, continues to deliver enhanced product offerings to our customers. First on Slide 5, is our new PrimePoint longwall mining pick from our infrastructure portfolio. Notably, this pick is equipped with a polycrystalline diamond tip, which enables operators to run longer. This innovative mining solution, also provides reliability in the harshest and most abrasive conditions and is ideal for coal, salt and other soft mineral applications. This is one of three mining products launched this quarter. It is a great example of unique solutions that support customers who are operating in challenging environments. On Slide 6, we have our TopSwiss micro machining solution from our metal cutting portfolio. These high precision turning tools, focus on serving the micro machining needs, of customers in the medical, aerospace and transportation markets. And this product suite has ultra-sharp cutting edges, for longer tool life and superior surface finishes, for use in titanium and stainless steel applications. This launch is a great example of the progress we have made executing the strategy, we discussed during Investor Day last year. We identified these applications specifically medical and aerospace, to help us fuel above market growth. Now let me turn the call over to Pat, who will review the first quarter financial performance and the outlook.
Pat Watson: Thank you, Sanjay and good morning everyone. I will begin on Slide 7 with a review of Q1 operating results. The quarter's results show that we continue to execute our initiatives, in the face of challenging market conditions. Sales were down 2% year-over-year with an organic decline of 2% and unfavorable currency exchange of 1%, partially offset by favorable workdays of 1%. Sales this quarter, were at the lower end of the expectations we provided last quarter. Relative to those expectations, we experienced slower market conditions, most notably in the Americas and EMEA. In our General Engineering, Transportation and Earthworks end-markets. Energy was a bit stronger than we had anticipated, due to project volume. Year-over-year, we experienced market headwinds in most end markets and regions, with the exceptions of aerospace and defense and energy end markets, and the Asia Pacific region. I will provide more color when reviewing the segment performance in a moment. Adjusted EBITDA and operating margins were 14.3%, and 7.6% respectively versus 16.6% and 9.9% in the prior year quarter. During the quarter, we realized approximately $5 million in savings from the previously announced restructuring program. This action has successfully delivered annualized run rate, pretax savings of approximately $35 million. Lastly, foreign exchange headwinds from the strong U.S. dollar, were approximately 1% this quarter. The adjusted effective tax rate increased year-over-year to 25.1%, primarily driven by discrete items recognized in the prior year quarter, an unfavorable geographical mix partially offset by a benefit of $1 million, from the favorable resolution of a tax dispute in India. Adjusted earnings per share were $0.29 in the quarter, versus EPS of $0.41 in the prior year period. The main drivers of our EPS performance, are highlighted on the bridge on Slide 8. The year-over-year effect of operations this quarter, was negative reflecting lower sales and production volumes, higher wage and general inflation, and the impact of temporary plant shutdowns. These shutdowns were for routine maintenance, and process improvements within the Infrastructure segment, and were partially offset by favorable timing of raw material costs, and incremental restructuring benefits. We also received a net benefit of $0.04 from insurance proceeds, related to the tornado that damaged our Rogers facility in the fourth quarter of FY '24. You can also see the effects of the tax rate and pension on EPS, with taxes and pension costs of negative $0.02. Other reflects lower share count, which contributed $0.01. Slides 9 and 10, detail the performance of our segments this quarter starting with metal cutting. Reported metal cutting sales were down 4%, compared to the prior year quarter with a 4% organic sales decline, and an unfavorable foreign currency effect of 2%, partially offset by favorable workdays of 2%. By region, on a constant currency basis, Asia Pacific grew 3%, the Americas declined 1%, and EMEA declined 6%. Asia Pacific's growth was primarily driven by the transportation end-market, and reflects modest improvement in China and continued strength in India. Americas' year-over-year decline this quarter, was due to slower conditions in the Transportation and General Engineering end-markets, partially offset by the execution of our growth initiatives in aerospace and defense. EMEA's year-over-year performance reflects weakness in General Engineering and Transportation end-markets, most notably in Germany. Looking at sales by end-market, Aerospace and Defense grew 5% year-over-year as our strategic initiatives continued to drive results. These initiatives were partially offset, by OEM production challenges. Energy was flat with strength in EMEA from project work offset, by the Asia Pacific region as we continue to experience, a slower market and project delays. Transportation declined 2% year-over-year, due to EV and hybrid project wins in the prior year, and an overall slowdown in EMEA and the Americas, partially offset by Asia Pacific project orders. And lastly, General Engineering declined 4% year-over-year with modest growth in Asia Pacific, offset by lower production activity in EMEA and order timing in the Americas. Metal cutting adjusted operating margin of 8.2%, decreased 300 basis points year-over-year, due to lower sales and production volumes, higher wages and general inflation and foreign exchange of $2 million, partially offset by lower raw material costs, restructuring savings of $4 million and price. Turning to Slide 10, for Infrastructure. Reported Infrastructure sales were flat year-over-year with organic sales growth of 1%, offset by unfavorable business days of 1%. Regionally on a constant currency basis, EMEA sales increased by 12%, Asia Pacific increased 1%, and the Americas sales declined by 3%. EMEA growth was primarily driven by order timing in Aerospace and Defense and General Engineering. Growth in Asia Pacific reflects strength in General Engineering partially offset by slower demand in China, which impacted Earthworks. The Americas decline was due to lower mining activity in Earthworks, and project order timing in General Engineering partially offset by Defense growth. Looking at sales by end market on a constant currency basis, Aerospace and Defense increased 42% from our continued focus on growth initiatives in EMEA and the Americas. Energy increased 2% mainly in the Americas, driven by project timing, partially offset by lower U.S. land based rig count. General Engineering was flat due to temporary plant shutdowns in the Americas, offset by order timing in EMEA and Asia. And lastly, Earthworks declined 6% due to customer mine consolidation, and lower mining activity in the Americas and Asia Pacific, and prior year orders. Adjusted operating margin declined 110 basis points year-over-year to 6.9%, primarily due to the following factors. The previously mentioned plant shutdowns for maintenance and process improvements, higher wages and general inflation. These factors are partially offset by net insurance proceeds of $4 million favorable price, raw material timing, restructuring savings and higher sales volume. Now turning to Slide 11, to review our free operating cash flow and balance sheet. Net cash flow from operating activities was $46 million, compared to $26 million in the prior year period. The change in net cash flow from operating activities, was driven primarily by working capital changes, and the $5 million received from the favorable resolution of a tax dispute in India, partially offset by lower net income, compared to the prior year period. Our free operating cash flow increased to $21 million, from negative $3 million in the prior year. Primary working capital this quarter, was down from the prior year. The company continues to focus on optimizing inventory levels, and remains focused on driving improved working capital. On a dollar basis, year-over-year, primary working capital decreased to $624 million and on a percentage of sales basis, primary working capital decreased to 31.8%. Net capital expenditures decreased to $25 million, compared to $29 million in the prior year quarter. In total, we returned $31 million to shareholders through our share repurchase and dividend programs. We repurchased 600,000 shares for $15 million in Q1, under our new $200 million authorization. And as we have every quarter since becoming a public company over 50 years ago, we paid a dividend to our shareholders. Our commitment to returning cash to shareholders, reflects our confidence in our ability to execute our strategy, to drive growth and margin improvement. We continue to maintain a healthy balance sheet and debt maturity profile, with no near-term refunding requirements. The full balance sheet can be found on Slide 17 in the appendix. Turning to Slide 12, regarding our second quarter outlook. We expect Q2 sales to be between $480 million and $500 million, with volume ranging from negative 5% to negative 1%, price realization of approximately 2% and a neutral effect from foreign exchange. Let me share some detail on the sales assumptions impacting the Q2 outlook. Our Q2 range at the midpoint, reflects growth that is generally in line with our historical norms. On a year-over-year basis Aerospace and Defense growth continues, albeit moderately as North American OEM production disrupted by the strike, will impact the second quarter. Energy is anticipated to be flat. General Engineering declined slightly, but similar to Q1 levels, Transportation is expected to decline mainly due to prior year project wins, and lower volumes in EMEA and Earthworks is anticipated to be flat. Non-cash pension expense, is expected to have a negative impact of approximately $1 million on a pretax basis. Interest expense is assumed to be approximately $7 million, and an effective tax rate of approximately 27.5%. Lastly, we expect adjusted EPS in the range of $0.20 to $0.30. The EPS range reflects the year-over-year change in the Q2 tax rate, which at the midpoint is approximately a $0.13 headwind to EPS. Now on Slide 13, regarding our full year outlook, we continue to expect FY '25 sales to be between $2 billion and $2.1 billion, with volume ranging from negative 3% to positive 2%. Net price realization of approximately 2%, and we anticipate an approximate 1% year-over-year headwind from foreign exchange. Our EPS outlook remains $1.30 to $1.70, and free operating cash flow remains at greater than 125% of adjusted net income. The other assumptions embedded in our outlook, also remain unchanged. As Sanjay noted in his prepared remarks, there have been some developments over the last quarter that have placed some additional pressure on our end markets, namely the strike in Aerospace and Defense and macro challenges in EMEA. To get to the top end of our sales outlook, we'd require a quick rebound in aircraft production, from the just resolved strike as well as a turnaround on EMEA. From a macro perspective, in the U.S., we would need industrial production growth to resume. These types of events would give us sequential sales growth, a bit above our recent seasonality. The midpoint of our outlook reflects seasonality in line, with our historical averages. As such, we expect year-over-year Aerospace and Defense to have moderate growth, Transportation to increase slightly, General Engineering to be flat, and Earthworks and Energy to decline slightly. And with that, I'll turn it back over to Sanjay.
Sanjay Chowbey: Thank you Pat. Turning to Slide 14, let me summarize. Overall, although macro conditions remain challenging in the short-term, the global megatrends that drive market growth over the long-term remain intact. As always, we remain committed to driving growth, and managing cost in line with market conditions. And in all cases, we will be guided by our value creation pillars of growth, continuous improvement and portfolio optimization while strengthening our foundation. So that we can deliver long-term shareholder value. And with that operator, please open the line for questions.
Operator: [Operator Instructions] Our first question comes from Steven Fisher with UBS. Please go ahead.
Steven Fisher: Thanks. Good morning.
Sanjay Chowbey: Hi Steve.
Steven Fisher: Wondering, if you can just help us frame the margin assumptions you have for the second quarter sequentially, compared to the first quarter excluding the benefit from the insurance proceeds? I think typically seasonally they should be lower. But I'm just curious, kind of what you're embedding in there, and your assumptions and maybe you could just kind of bridge the key items for us?
Pat Watson: Yes, certainly. So I would say we think going Q1 to Q2, more or less flattish from a margin perspective. Couple things to think about. There's certainly going from Q1 to Q2, pull out the benefits from the insurance proceeds we had in Q1 non-operating item. But obviously we've got a little bit of benefit from the resolution of that Indian tax dispute in there as well. We'll see a little bit of pickup, because as we talked about some of those plant shutdowns that will go away, and some of the expense we had around some trade shows goes away as well. On the other side of that, we'll see a modest tick up in compensation, as compensation normally goes up for us here on October 1. That's generally when a lot of our employees on a global basis receive their annual salary adjustments. So those are kind of the major puts and takes. But overall flat margins.
Steven Fisher: Okay. That's very helpful. And then, the guidance does imply a nice recovery in organic growth in the second half. Just talk about, where you have the most confidence in that recovery, or is perhaps the bias at this point absent any other information that we should be kind of, gearing towards the lower end of the range?
Sanjay Chowbey: Yes, Steve, Sanjay here. First of all, as we said last quarter also that we assumed slight recovery in the second half of the calendar year '25 in the industrial production, and also in the oil rig counts. And as you might have seen the oil rig count is down right now to 565. As of right now the Spears outlook is that it's going to stabilize around 590, 600. And then when you start to look at the auto production that also assumes slight improvement globally especially like in U.S. and China. EMEA at this point we continue to see some pressure on auto production and auto sales. And then you start to move into oil and gas. I mean sorry, the earthworks relatively stable in that. In aerospace and defense at this point, our assumption includes slight improvement. We know that there were some issues, but slight improvement in that also. It depends on how much supply constraints, they can resolve. But that's the way we are looking at it. Slight improvement in the second half of the year, long-term obviously much better outlook for aerospace and defense.
Steven Fisher: Terrific. That's very helpful. I appreciate it.
Operator: And the next question comes from Julian Mitchell with Barclays. Please go ahead.
Julian Mitchell: Hi, good morning.
Sanjay Chowbey: Hi Julian.
Julian Mitchell: Hi. Maybe just the first question if you could elaborate a little bit on China, and I suppose broader Asia Pacific. You had decent low-single-digit growth there, year-on-year in the first quarter. But we have very mixed things on industrial demand in China versus say construction, where the news is uniformly more negative. So maybe help us understand kind of what you're assuming for the balance of the year in terms of Asia Pac, or China revenue trends please?
Pat Watson: Julian, first of all, let me start with China. As you said, construction and mining continue to be under pressure, and beyond that we have seen stable and slightly improving markets, in other major end markets that we serve. India continues to be stable and improving, or not only improving, it has been strong, I should say. So overall APAC, the way I will describe here, despite pressure on construction and mining, we think it's going to be stable and slightly improving.
Julian Mitchell: That's helpful. Thanks very much. And then just wanted to circle back. When we think about that, I suppose we'll look half-on-half but. But you have a fairly typical second half increase in operating margins. Total company in the back half versus the first half. Normally pretty similar I suppose, this year seems to be dialed in. So any color you could provide, as we think about the weighting of that margin ramp, maybe a third versus fourth quarter. Anything to bear in mind in that sense and understanding that. I think second quarter margins are kind of flattish sequentially, so we know that base. And then you have kind of a couple of points of back half step up I think?
Pat Watson: Yes, the couple of things I'd reflect on, what drives a lot of that margin performance in the second half is just the seasonal uptick in volumes and that is the primary driver, of what's going on from a margin perspective. So as you think about what the normal cadence is, Q3 to Q4. Q4 typically is our higher margin quarter just again based on margins. The only other thing I would layer in on that is, as we continue to work on operational excellence and productivity. And those things that stuff will ramp as we move throughout the year as well. And then lastly, just in terms of lapping type of restructuring things, again, this is more of a year-over-year, but you'll see more of that restructuring benefit come in first half than you're going to see come in the second half again on a year-over-year basis.
Julian Mitchell: Great, thank you.
Operator: And the next question comes from Steve Barger with KeyBanc Capital Markets. Please go ahead.
Sanjay Chowbey: Good morning, Steve.
Operator: Steve, your line might be on mute.
Steve Barger: Sorry about that. Yes Pat, starting with Slide 8, that bridge you showed the negative impact of lower production volumes. Working cap as a percentage of sales looks pretty flat over the last few years, and you've had negative volume growth over the past year. Can you just talk about where you are now for inventory relative to demand? Do you need to continue to take production days out, or how are you positioning relative to the potential back half improvement that Sanjay talked about?
Pat Watson: Yes, I mean overall, I'll just reflect on the general trajectory. What we're trying to do in particular with inventory, Steve, is we're trying to take inventory out of the system. And so I would say simply over the long run that implies that production would be slightly below where demand is, right. I think you saw inventory come up from Q4. I think there's a little bit of FX in there. I think about $11 million sequentially. So after you kind of pull that out, I would say pretty normal seasonal adjustment in terms of inventory in Q1. Our objective here really is to get primary working capital as a percent of sales down to about 30%, as our outlook is by the end of the fiscal year. That will require us again, just part of our long run strategy here to kind of, constrain production in a reasonable way to get that down, and get the benefit of higher sales volumes over time, and - on lower inventories.
Sanjay Chowbey: Yes. Let me just add one more thing, Steve, on to that. We have been making as part of the overall continuous improvement a lot of basic improvements in our sales, operations, planning and the supply chain network, like what we move from where in the world and all that. And we've been making sustainable progress on that, and that will continue. So to Pat's point, we will very closely monitor markets, but at the same time we expect that we'll continue to improve our overall working capital.
Steve Barger: Understood, thanks. And then on that same slide, is there an opportunity around the temporary shutdowns for maintenance and process improvement, meaning that you can use those shutdowns in just a generally softer environment right now, to move some product lines and accelerate plant closures, to lock in structural cost savings for when we do see, the markets improve?
Sanjay Chowbey: Yes, Steve, the thing that we have mentioned there about the temporary plant shutdown, these are relatively short, targeted at very specific assets, preventive maintenance and overall like process improvements. That's what we have done here. These are not long enough to make major change in terms of footprint. We are working on footprint on the separate initiative, and we will come back to all of you at the appropriate time when we are ready to discuss more of that. But as we have said that at the Investor Day, those actions will be a little bit more back half loaded, of our timeline horizon on that.
Pat Watson: Just to add, Sanjay, I think over time, Steve, and we did this, I think two years ago in the December quarter. I think our ability from a sales and operations planning perspective, is as market conditions change. And as we think about what we need to do to be responsive to the customers, being able to more finely dial in where we can have production. And take advantage of opportunities when they present themselves in terms of, again managing production in a thoughtful manner.
Steve Barger: Appreciate the detail. Thanks.
Operator: And the next question comes from Angel Castillo with Morgan Stanley. Please go ahead.
Angel Castillo: Hi. Thanks for taking my question. I just wanted to talk about maybe put a finer point on kind of the near term trends. What are you seeing kind of September, October versus what you saw in the first kind of full fiscal 1Q, just general kind of trends across the end markets please?
Sanjay Chowbey: Yes Angel, overall industrial production and oil and gas, as I mentioned earlier, these are going to stay relatively stable are flattish. Like as Pat talked about the Q2 outlook, where we see continued pressure right now, which we already have built in our outlook is transportation industry end market in Europe. And then mining construction also continue to stay soft in our opinion in the second quarter. But overall like I said globally, our view is that things will be more in the stable range.
Angel Castillo: And maybe switching over to price cost. Just can you talk about what you're seeing in terms of both tungsten and just general kind of cost inflation and then your kind of degree of confidence around kind of getting the 2% realization, and just broader kind of price cost thoughts would be helpful?
Pat Watson: So just we'll start with tungsten. So tungsten has been in a range of about, let's call it, $3.05 to $3.25. So it's been relatively steady here over the past couple of quarters. As we've talked about in the past, we generally get then visibility about 2 quarters out. So I would say, as we think about price cost, in particular, in the Infrastructure segment, we've got reasonable stability here. I would not anticipate a significant price cost tailwind or headwind at this point in time, again looking out this quarter and then the following quarter. Overall, I think from an inflation perspective there remain pockets where there is some additional price being pushed on by the supply base. But I would say, in general, we've seen this trend of continued moderation in terms of inflation rates pretty much across the board. And so that's kind of what we're looking at there. Sanjay, do you want to comment anything on the pricing?
Sanjay Chowbey: Pricing-wise, at this point, we continue to -- we did implement a Metal Cutting price in July, and we had some strategic pricing on the Infrastructure side. Our goal is obviously to make sure that we are offsetting inflation on that. And Angel, I would like to also go back in your broader question on the market. I didn't talk about Aerospace & Defense. I want to just give you a little bit more color on it. In the near term, which is Q2 for us, we don't expect major change. Even though the labor dispute has been resolved, we think some of those improvements will come in the calendar year '25.
Angel Castillo: Very helpful, thank you.
Operator: And the next question comes from Tami Zakaria with JPMorgan. Please go ahead.
Tami Zakaria: Hi, good morning. Thank you so much.
Sanjay Chowbey: Hi, Tami.
Tami Zakaria: Hi. So my first question is, historically, how does Fed rate cuts impact you? Do you see a pickup in demand maybe at a one or two quarters lag? What are you hearing from customers now that finally rates have started to come down? Is there a sense of optimism amongst customers? So any thoughts on how you're thinking about this rate cut environment transitioning hopefully to a lower-rate scenario?
Pat Watson: I think, overall, lower rates will be constructive. I think, as always the case with monetary policy, that lag period is variable, right? And so I would think if you look back historically, it's probably several quarters before that really starts turning around. Obviously, the Fed is going to - were not going to take action here in the near term on that. I think from an overall customer perspective there's a customer belief that's out there as well that rate cuts are constructive to the long-term growth potential. That being said, if we balance that against current period indicators like PMI here in the U.S., you really haven't seen that turn from a customer sentiment yet.
Tami Zakaria: Got it. That's helpful. And my other question is, just to clarify, can you tell us how to model any business days impact for the next - for the remainder of the year, for the next 3 quarters? Anything to call out?
Pat Watson: In Q2, there's basically about a 0.5-day up year-over-year. I think Q3 is about 0.5 day in the other direction down. And I think it's about 0.5 day again in Q4, it should be down. So it's kind of a wash for the most part.
Tami Zakaria: Got it. Thank you.
Operator: And the next question comes from Chris Dankert with Loop Capital Markets. Please go ahead.
Chris Dankert: Hi. Morning. Thanks for taking the questions.
Sanjay Chowbey: Good morning, Chris.
Chris Dankert: First off, just a quick housekeeping item, and apologies if I missed it, but did you delineate what the realized restructuring savings were in the quarter?
Pat Watson: Yes, it's $5 million discretely in the quarter year-over-year. Since inception of the program, its run rate is $35 million on an annual basis. So if you think about it in the quarter from baseline, it's $35 million over 4.
Chris Dankert: Okay. Perfect. Perfect. And I guess, just to drill down a little bit more on the margin at Metal Cutting, I guess it's a pretty hefty decremental. It seems like it's 2x typical. I think, typically, you call it 40% decremental on volumes despite some of the cost actions. Maybe can you just help us understand, is it mix? Kind of what else is going on under the hood there in terms of margins for metal cutting here?
Pat Watson: Well, first off, when we think about margin decrementals for Metal Cutting, we talk about average being in the mid-40s there and have always said Metal Cutting is north of that, right? And so Metal Cutting will tend to have higher incremental decrementals than the average of the business. As we think about what the performance of the segment was here in the first quarter, big reduction in volume, right? That's coming through both on the sales side and on a production basis as well, right? On top of that, you've got a couple of other things. Obviously, you've got the restructuring benefits coming through in the quarter. However, on the other side of that, and we talked about this going into the quarter, we would see some temporary costs flow through Q1 as well that would kind of suppress the margin. A little bit here on some of the trade shows we went to and the like. And so a couple of cross-currents there, but the big story almost always the case in Metal Cutting is what's going on from a volume perspective.
Sanjay Chowbey: I think, on top of that, we had one event of onetime gain last year that we laid out last quarter.
Chris Dankert: Got it. Well, thanks for the detail there, guys.
Operator: And the next question comes from Joe Ritchie with Goldman Sachs. Please go ahead.
Joseph Ritchie: Hi guys. Good morning.
Sanjay Chowbey: Good morning, Joe.
Joseph Ritchie: Really helpful slide on the metal cutting share gains, I guess, in Europe specifically. I guess the question I have is, as you kind of think about hopefully a potential recovery in that end market, do you expect to keep these types of share gains if the market were to recover? And then just what are you kind of looking at as maybe leading indicators, and maybe just focusing on the German market, that could maybe give you some confidence once that market starts to turn?
Sanjay Chowbey: Joe, I think, as I mentioned earlier, based on the IHS data and publicly available information from the OEMs, we think that the near-term pressure will be there. In the meantime, like we also said earlier in the prepared remarks, that our gap versus the trade group, it might also be driven by the fact that they were, the other parties, were impacted by lower export sales. So I wouldn't say that we will see any major deviation from what we see here, but the market overall is going to be under pressure. And in the meantime, of course, we continue to do things with respect to new project wins. As customers are also going through the mix change in terms of they were going a little bit strong on electric vehicles, that adjustment is happening, where the shift is going to happen a little bit more towards hybrid. So there's going to be some of those comp issues because of that. But we believe that we are very well positioned to support our customers. Whether they go for ICE engines or hybrid or battery, we are there to support them. So overall, we will continue to do above-market growth there.
Joseph Ritchie: Okay. Helpful. And then, Sanjay, you're going to be my first election question. So post yesterday, how are you thinking about just potential implications for your business? Also with the prospect of potential tariffs on the come, how does that potentially change your either competitive dynamics here or abroad? Just any thoughts that you have, broad thoughts, on the outcome from yesterday.
Sanjay Chowbey: I think we know we have to learn more in coming months to see how the overall policies come out. But what we will expect is that the industrial production is going to be one thing that we want to watch to see how that affects, because that has the biggest effect on our overall business. With respect to tariffs, I'll let Pat also add his opinion, but we don't - we are a global business. We do business in all different continents. And in a lot of cases, we are making things where we sell. There is not going to be a lot of direct effect on it, but how does it affect overall sentiments, that we have to watch. And then on the material cost, it might have some impact. But too early for us to tell much detail at this point.
Pat Watson: I would just say - I would reiterate that, Sanjay, in the sense that, like, from a manufacturing footprint perspective, we're global. We aim to support customers locally with production where we can. And so that tends to minimize some of the effect of tariffs on the business. That being said, the big feedback loop there is based on any government policy that affects overall consumer confidence and, therefore, industrial production is going to have a feedback loop on us, positive or negative.
Joseph Ritchie: Okay, guys, thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back to Sanjay Chowbey for closing remarks.
Sanjay Chowbey: Thank you, operator, and thank you, everyone, for joining the call today. As always, we appreciate your interest and support. Please don't hesitate to reach out to Mike if you have any questions. Have a great day. Thank you.
Operator: A replay of this event will be available approximately one hour after its conclusion. To access the replay, you may dial toll-free within the United States (877) 344-7529. Outside of the United States, you may dial (412) 317-0088. You will be prompted to enter the conference ID, 3407664 then the £ or # symbol. You will also be asked to record your name and company. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.